Operator: Good day, ladies and gentlemen. And welcome to Arbor Realty Trust Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time [Operator Instructions]. As a reminder, today’s conference call is being recorded. I would now like to turn the call over to Mr. Paul Elenio, Chief Financial Officer. Sir, you may begin.
Paul Elenio: Okay, thank you, Chelsea, and good morning, everyone. And welcome to the quarterly earnings call for Arbor Realty Trust. This morning we’ll discuss the results for the quarter and year ended December 31, 2016. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform that you statements made in this earnings call may be deemed forward-looking statements that are subject to risks and uncertainties, including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans and objectives. These statements are based on our beliefs, assumptions and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. I’ll now turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul. And thanks to everyone for joining us on today's call. We’re very excited today to discuss the success we had in closing out 2016, as well as our plans for 2017. As you can see from this morning's press release, we had a very strong fourth quarter as we continue to benefit greatly from our newly acquired agency platform. This acquisition is transformational to our franchise and greatly enhanced our ability to achieve our goal of becoming the world-class commercial real estate platform. Before I turn it over to Paul to take you through our financial results, I would like to talk about some of our significant fourth quarter and full accomplishments, as well as our outlook for 2017. Our fourth quarter and full year highlights were truly remarkable and exceeded our expectations. Some of the more significant accomplishments included significant growth in our core earnings allowing us to increase our dividend run rate to $0.68 per share, representing a 13% increase since the Agency Business acquisition; achieving a total shareholder return of 13% in 2016 and 28% over the last two years; adding significant diversification, stability and duration to our income strengths from a prepayment protected long data service and portfolio; producing record originations of $4.6 billion, $3.8 billion from our Agency Business, a 22% increase from the 2015 agency volume; growing our service and portfolio to $13.6 billion, a 24% increase from 2015 and 14% increase since the Agency Business was acquired; increasing our transitional balance sheet portfolio of 17% in 2015 to $1.8 billion; generating $15 million of income from equity investments and a structured transactions; continuing to focus on new and improved non-recourse securitization vehicles, closing our six CLO for $325 million with deployments and capability; increasing our market capital over $500 million and our equity base by $180 million; and preserved our strong liquidity position with currently $115 million of cash on hand to fund new investments opportunities. Again, these are truly incredible results. I would now like to spend a little more time elaborating on some of these accomplishments in our two complementary and cohesive business platforms. First I would like to discuss our agency origination and servicing platform. We had a tremendous fourth quarter originated $1.3 billion on loans with over $700 million of these loans occurring in the month of December alone. We closed out 2016 with approximately $3.8 billion of agency volume, an increase of over 20% from 2015 and both our December and full-year 2016 production numbers were both new records for our Agency Business. We also finished as top 10 Fannie Mae DUS lender for the 10th consecutive year in a row, a distinction only one other DUS lender has achieved. And we are the number one small balance lender for Freddie Mac again in 2016 and a top small balance lender for Fannie Mae as well. We are also extremely positive on outlook for 2017 and believe that the significant amount of commercial real-estate debt that is maturing combined with our strong brand and dominance in the small balance loan market we could exceed our 2016 record origination numbers in 2017. The significant new growth in our agency platform has also allowed us to grow our servicing portfolio substantially. At 12/31/2016, we have a servicing portfolio of approximately $13.6 billion with the 48 basis point weighted average servicing fee, which will generate a reoccurring predictable and long dated annuity that is mostly prepayment protected and will continue to add significant diversity duration and stability to our earnings stream. The tremendous success we’ve had over the past two quarters in our Agency Business has also been extremely accretive to our core earnings and allows us to increase our dividend to $0.17 a share this quarter or $0.68 a share annual run rate, which is 13% increase in our dividends since we purchased the agency platform. And our second increase since the acquisition of the agency platform, and this is an increase that we’ve gone going from $0.60 a share to $0.68 a share. Additionally, we are expecting a very strong first quarter as well as a result of approximately $700 million of originations that we closed in December, the gains of which will be recognized in the first quarter upon the sale of these loans. And again we’re also very positive on our outlook for the rest of 2017. So overall, we are pleased with the results of our agency platform and are confident that this business will continue to produce significantly recurring and predictable earnings and longer duration assets, which allow us to continue to grow our earnings and dividends in the future. This business will also provide a very durable growth platform, while minimizing the potential impact of capital markets and interest rate volatility. And we believe for all of these reasons, we should trade at a premium value when compared to other mortgage reach and specialty finance companies that do not have a significant agency platform. Now, I would like to focus on our accomplishments from our transitional balance sheet lending business. We continue to focus heavily on growing our balance sheet originations business, while remaining extremely disciplined in our lending approach by primarily investing in senior debt. This has allowed us to generate leverage returns in excess of what we could achieve by lending in the subordinate areas of the capital stack. In the fourth quarter, we originated approximately $193 million of loans and experienced runoff of approximately $135 million. For the year, we closed $848 million of loans and had $515 million of runoff, resulting in net growth in our portfolio of approximately $300 million or 17% in 2016. Our 2016 originations had an average yield of approximately 7% and generated leveraged returns of approximately 14% on these investments. We are very pleased with the significant growth we experienced in 2016, and believe that through our deep originations network we can duplicate or even exceed this level of growth in 2017, while generating similar leveraged returns on our new investments. Additionally, with a heavy focus on senior multi-family loans, our loan portfolio of approximately $1.8 billion is now comprised of 90% senior debt with 85% of that debt being multi-family assets, which clearly have proven to be the most resilient asset class and product type in all economic cycles. We have also continued to focus on enhancing our debt structures, which is one of the key reasons to our success and our major critical component of our business strategy. The successful execution of this strategy has allowed us to generate superior leveraged returns in a very safe and stable part of the capital stack through the continued use of non-recourse securitization vehicles. We have a tremendous amount of experience and capability in the securitization arena, and continue to be a market leader in this space. We have closed six non-recourse securitization vehicles since the financial crisis and currently have approximately $750 million of non-recourse debt through three vehicles with replenishment periods going out as far as three years allowing us to appropriately match funds on our assets with non-recourse liabilities and generate strong leveraged returns. Additionally, we are very successful in raising accretive capital in 2016 in the form of convertible note instruments with attractive returns. This allowed us to increase our liquidity position and we now have approximately $150 million of cash on hand to fund our future investment opportunities. We also produced extremely impressive results from our investments in the residential mortgage banking business, and from other equity investments in 2016. In the fourth quarter, we recorded $1.8 million of income bringing our total income from these investments to $13 million for the full-year of 2016. Approximately $9.6 million of this income was from our investment in the residential mortgage business, which resulted in 100% return on our investment capital for the year. These results were well in excess of the original expectations for 2016 due to a significant increase in volume as a result of low interest rate environment. And given the recent move in interest rates, we are now expecting to generate between $1 million to $1.5 million of income per quarter from these investments in 2016, which is more in line with our original guidance, and reflective of the current interest rate environment. Overall, we’re extremely pleased with our fourth quarter and full year results, especially in our ability to complete the Agency Business acquisition and grow our core earnings and dividends significantly in 2016. We are also excited about the significant growth we have experienced so far in the Agency Business, and our ability to diversify and create more stable, predictable, long dated earnings streams, which are less sensitive to rate and market volatility. We believe the combination of our two significant businesses will continue to enhance our originations platform, expand our market presence and broaden our products, which will increase the value of our franchise. And we are very focused and confident in our ability to increase our brand, grow our platform, and continue to increase the value to our shareholders. I will now turn call over to Paul to take you through the financial results.
Paul Elenio: Thank you, Ivan. As our press release this morning indicated, we had a very strong fourth quarter as we continue to benefit greatly from the Agency Business acquisition. As a result, AFFO was $15.1 million or $0.21 per share for the fourth quarter and $49 million or $0.79 per share for the full year of 2016. This translated into an annualized return on average common equity of 9%, and we produced the total shareholder return of approximately 13% for 2016. As Ivan mentioned, the significant results from our agency platform have been very accretive, which has allowed us to increase our dividend to $0.17 a share or 0.68% a share annualized, an increase of approximately 13% since the Agency Business acquisition. And with AFFO of 0.79 a share for 2016, we more than covered the $0.63 of dividends we paid out this year. For the quarter, we generated approximately $27 million of income and approximately $12 million of AFFO from the Agency Business, a portion of this income from business is subject to federal and state taxes inside of taxable REIT subsidiary. For the fourth quarter and full year 2016, we reported a current federal and state tax provision of $2.1 million and $2.4 million respectively related to this income as we had NOLs from prior taxable REIT investments that were applied against the third and fourth quarter taxable income. If we did not have these NOLs, our current federal and state tax provision would have been approximately $6 million for the fourth quarter, resulting in a current federal and state effective tax rate of approximately 22% for the fourth quarter on our Agency Business pretax income. We also had a very strong originations quarter in our agency platform, closing $1.3 billion of loans in Q4 and $3.76 billion for the full year of 2016. This is 22% increase over our 2015 originations. And as Ivan mentioned, we are very optimistic we can grow these numbers again in 2017. For the quarter, $1 billion were Fannie Mae DUS originations and for 2016, we originated $2.7 billion in Fannie Mae loans, a 42% increase over our 2015 Fannie Mae originations. Origination fees and gains on sales of originated loans are recorded upon settlement or sale of the underlying mortgage loan, which normally occurs anywhere from 30 to 60 days at the closing. At that time, any commissions earned related to the origination of the loan are recorded as a compensation expense. Therefore, one important metric for tracking quarterly fee income is our own sale volume, which is approximately $941 million for the fourth quarter with a margin on these sales of 1.58%, including miscellaneous fees, which can range from 5 to 15 basis points. We recorded commission expense of approximately 33% of our gain on sales in the fourth quarter, and expect this number to range between 35% and 40% going forward. We also reported $29 million of mortgage servicing rights income related to $1.4 billion of committed loans during the fourth quarter. This represents an average mortgage servicing rights rate on committed loans of 2.05% for the fourth quarter. Sales margins and MSR rates fluctuate, primarily by GSE loan type in size, and therefore, changes in the mix of loan origination volumes may increase or decrease these percentages in the future. We also grew our servicing portfolio to approximately $13.6 billion at 12/31/2016 with a weighted average servicing fee of approximately 48 basis points, and an estimated remaining life of seven years. This portfolio was up 13.5% since the acquisition date, and will continue to generate a significant predictable annuity of income going forward in excess of $65 million annually. This annuity significantly diversifies our revenue streams and provides us with long dated stable predictable earnings that are mostly prepayment protected and less sensitive to rate and market cycles. So clearly, we had a tremendous fourth quarter in our Agency Business. And as Ivan mentioned, we’re also expecting a strong first quarter and are very positive on our outlook for the remainder of 2017. Now, I would like to talk about the fourth quarter results from our transitional balance sheet lending operation. We generated income of $3 million and AFFO of approximately $4.1 million in the fourth quarter. We reported $1.8 million of income from our equity investments in the fourth quarter, which is down from the $4.9 million we generated from these investments last quarter as a result of less income associated with our residential mortgage banking joint venture due a rise in interest rates. As Ivan discussed earlier, this investment produced $9.6 million of income in 2016 or 100% return on our invested capital, which was well in excess of our expectations. And given the current interest rate environment, we’re now estimating these equity investments to generate on average of $1 million to $1.5 million of income a quarter, going forward, which is more in line with our original projections. We also had a strong originations quarter closing $193 million of new investments with $135 million of loans, which resulted in net growth in our portfolio of approximately $300 million or 17% in 2016. Our investment portfolio was approximately $1.8 billion at December 31st, earning an all-in yield of approximately 6.39%, which is up from a yield of around 6.14% at September 30th. And with our primary focus in multi-family bridge loans, our portfolio now consists of 90% bridge loans and 80% multi-family assets. The average balance in core investments was up slightly from $1.73 billion last quarter to $1.79 billion this quarter, largely due to net growth in our loan book during the quarter. The average yield in these core investments increased to 6.38% for the fourth quarter from 6.15% for the third quarter largely due to an increase in LIBOR, as well as more accelerate fees from early runoff in the fourth quarter. Our total debt on core assets was approximately $1.35 billion at December 31st with an all-in-debt cost of approximately 4.45%, which is up from a debt cost of around 4.09% at September 30th, mainly due to the issuance of our new convertible notes and an increase in LIBOR during the quarter. The average balance in our debt facilities was also up to approximately $1.44 billion for the fourth quarter from approximately $1.37 billion for the third quarter, mainly due to the convertible notes we issued in the fourth quarter. And the average cost of funds in our facilities increased to approximately 4.82% for the fourth quarter compared to 4.19% for the third quarter. We did unwind one of our CLO vehicles in the fourth quarter and recorded a one-time expense of approximately $1 million related to the acceleration of unadvertised fees related to this facility. Without this one-time non-cash expense, our average cost of funds for the quarter was 4.55%, which is up from the third quarter average, mainly due to our new convertible notes which carried a higher rate and from an increase in LIBOR. Overall, net interest spreads on our core assets on a GAAP basis decreased to 1.83% this quarter compared to 1.96% last quarter. And our overall spot and net interest spreads decreased to 1.94% at December 31st from 2.05% at September 30th; again, mainly due to higher cost associated with the convertible notes. Additionally, as Ivan mentioned, we currently have approximately $150 million of undeployed capital that when fully utilized should increase our net interest spreads overtime. Our average leverage ratio on our core lending assets, including the trust preferred and perpetual preferred stock as equity were up to approximately 71% this quarter compared to 69% last quarter. And our overall debt to equity ratio on a spot basis, including the trust preferred and preferred stock as equity was down to 1.3:1 at December 31st from 1.4:1 at September 30th, largely due to the growth in our equity. That completes our prepared remarks for this morning. And I’ll now turn it back to the operator to take any questions you may have at this time. Chelsea?
Operator: [Operator Instructions] And our first question comes from the line of Steve DeLaney with JMP Securities. Your line is now open.
Steve DeLaney: I'd like to talk about market share a little bit. These are rough numbers. But what we're seeing I think the GSEs together did $112 billion in multi-family. So, we’re seeing your volume at about 3.5% market share combined and maybe your Fannie volume higher at about 5%. First part -- the first question is do you see these numbers about the same as we’re calculating them? But more importantly, Ivan, do you guys have any specific goals or targets that, over the next year or two, that you’re hoping to achieve in gaining shares, seems like there is plenty of room for growth. And the final part of the question would be, as you look to grow your platform. Should we assume that that will mostly be organic growth? Or are there any acquisition targets out there that you could consider? Sorry for the long question, but appreciate your comments.
Ivan Kaufman: So, we continue to grow our originations platform organically. We grew it by increasing the number of products, investing in technology, investing in our current sales people, as well as having training programs, bringing people around, and that’s a significant focus. We’ve a long history as operators are acquiring other businesses when the climate is right. And as the appropriate kind of enterprise that can have the right integration, we have the expertise and the capital to do. And I believe that those opportunities will present themselves, especially with some dislocation in the future, and I am hopeful that will occur. With respect to the Agency Business, we continue to grow our Agency Business. As you know, Steve, we are the leader in the small balance base. We like the small down of base. It's more difficult space operator in. We’ve perfected our expertise. We continue to be the leader, the number one lender for Freddie Mac, and an innovator in that program, and bringing technology to there. So, my belief is we can continue grow in that space and increase our market share. The good news as well is a lot of our business with the agencies has excluded businesses and were not affected by the caps. While other enterprises maybe restricted in terms of amount of business they can do, will allow businesses or uncap business, and it's unlimited how much can grow. So, we’re pretty confident and happy with the level of growth we’ve had year-to-year. I think it's over 20% from last year and consistent with prior years, and if we can then maintain that growth level, we would be quite pleased.
Steve DeLaney: Ivan, with small balance, you seem to be focused with Freddie there, and I think you were involved in helping them set that program up. But does Fannie not have the same emphasis internally on small balance firms. So in that way the production with Freddie is more in that product?
Ivan Kaufman: I think that the emphasis comes and goes with the two different agencies. Freddie is clearly right now very committed with the variety of different products. So, I think their product offerings is little broader. They tend to be a little bit more competitive right now. So, that’s where our emphasis is at the moment. We’re still very active with Fannie Mae. And I think based on their appetite and their views, sometimes they’re a little more active, sometimes they’re little less active.
Steve DeLaney: And my follow up question, I would like to talk a little bit about credit quality and the structured portfolio. Firstly I would look for creditors, what’s going out with the provision, and it looks like 2016 was a very, kind of a nine year you actually had a modest recovery rather than a net charge. And I guess the prior year was about $4.5 million of charges. So, maybe just some big picture thoughts on how you see the credit quality generally in the portfolio? And then I would like to ask you some specific questions about the eight loans that you have reserves on? Thanks.
Ivan Kaufman: We’ve a lot of numbers to Paul. But any charges that we have are still some residuals from some of legacy portfolios. Our comp portfolio is performing on the agency side, and on the balance sheet side, extremely well. So, we’re pleased with the levels of performance. And in fact on the agency side, our underwritten levels for how we originate the loans and the performance of how they’re performing today, they’re performing well in the excess of the way we’ve unwritten them. So, we’re quite pleased with the credit quality. And especially in light of the fact that we believe that we’re flat -- kind of a flat rent environment over the last 18 months, so we’ve had to adjust our underwriting parameters to reflect what our philosophy was on more or less regarding the multi-family assets. Paul, do you have any comment on that?
Paul Elenio: Steve, to Ivan’s point, I think as you said generally the portfolio is performing very well. We've had a lot of improvements in some of the legacy assets. But the only provisions we take at this point are in a handful of legacy assets. We did not had anything as you said in 2016 I don’t know what ‘17 will bring but for the most part the portfolio is performing very well, on the loans that we book reserves on, we feel comfortable those reserves are appropriate. I can't tell you that we’ll have recoveries or additional provisions on those loans. But we feel very comfortable. In the past, we’ve been able to book recoveries. We’re hopeful that trend will continue. But right now, we think we’re adequately reserved on those loans that we have reserves on.
Ivan Kaufman: So Paul on the $187 million gross, what percent, whether it's by loan number -- I guess by dollar amount. What percent of those are actually on non-accrual, so you have no current income recognitions on the loans?
Paul Elenio: I think there is $27 million of non-performing loans that are fully reserved, and those are non-performing. And then the balance of those loans from the 180 for the 27 would still be performing. But we've put away some credit reserve for impairment on those loans.
Ivan Kaufman: And overall, Steve, you'll see the numbers. But our reserves represent about -- little bit less than 5% of the UPB of our portfolio right now.
Operator: Thank you. And our next question comes from the line of Jade Rahmani with KBW. Your line is now open.
Jade Rahmani: Just wanted to ask, you mentioned the pipeline for 1Q is strong. And what are you seeing in terms of borrower demand. Is there any diminution due to concerns about interest rates, or potentially tax reform impacting commercial real-estate?
Ivan Kaufman: I think we’re seeing very consistent production. I think you have to look at the overall environment. There is record number of transactions from -- that were written in 2006, ’07 and ’08 that are up for refinancing right now. And those particular loans were written with interest rates that were higher than interest rates are today. I think some of the additional volume we saw on the fourth quarter was reaction to a concern that rates would rise. And in fact they rose well in excess of what people originated -- were anticipating. I think you saw the 10 year ago as high as 260 to 265, it's settling down now into 230 to 240 range, which is still extremely attractive. So, we’re seeing consistent demand from our borrowers, it's not letting up. And I think the outlook is that rates may rise a little bit, but it's still lower than the realm of people being able to refinancing and adjusting debt, and be active in the purchase market right now.
Jade Rahmani: And then in terms of loan mix comment side, are you seeing an uptick in refinancings plus acquisition loans, sounds like it -- from your comment around the ’06 to ’08 vintage?
Ivan Kaufman: Yes, I'd have to take a look at the numbers. I think we’re seeing a high level of consistency. But we will see a greater level of growth on the refinance side just due to the amount of loans that are good to be refinanced in that market.
Jade Rahmani: And then just on the overall market, I think Freddie Mac is projecting around 5.5% increase in volume in 2017. Do you agree with that market projection?
Ivan Kaufman: Yes, I do. I think it's a bigger market. And I think the agencies will get their share, and a great deal of liquidity is coming from both of the agencies, including FHFA as well. So, I think that as market grow, they’ll be there to provide liquidity in order to fill a market to have right efficiencies.
Jade Rahmani: Thanks. And I am going to pass it on to my colleague Ryan who has additional follow-up questions.
Unidentified Analyst: Thanks, Jade. Just -- and thanks for taking my question as well. Just for the balance sheet portfolio, can you say what drove the increase that was pretty material for the quarter in average loan yields? For example, are you seeing increased spreads on incremental originations?
Ivan Kaufman: Are you talking about the gross yields?
Unidentified Analyst: Yes, the gross yields that you disclosed at quarter end.
Paul Elenio: Ivan, do you want to take that, or you want me to…
Ivan Kaufman: Yes, go ahead Paul. You got the numbers…
Paul Elenio: Yes, some of its mix, Ryan. So, we look at things on a levered return basis. So, levered return was 14% on originations for the quarter, and that’s pretty much consistent all the year. The yield, the gross yield, on the loans in the fourth quarter was up a little bit from the prior quarter. And some of that has to do with mix. We did do a mezzanine loan during the quarter that carries a high gross yield. But then again, it's not leveraged; so all-in the mix of leveraged return is about 14%. Some of the mix still on the gross spread has to do with the product and also the increase in LIBOR. But it was a little bit of mix. We did do a larger mezzanine loan this quarter that drove up the gross yield.
Unidentified Analyst: And then can you provide some color on the current pipeline of loans for the structure business that are in some process of underwriting or closing?
Ivan Kaufman: I think we’re seeing that business to run at a similar pace little bit greater than last year. Given where we are and our liquidity, we can be a little bit more aggressive. We also think we can lower our cost of funds right now with where the market is. And we think our execution on the CLO side is more and more efficient. So, I am optimistic that we can grow our originations a little bit ahead of last year. And our activity in the market and the combination of the platforms has given us a little greater access. So, I would like to see that business grow over last year, and we’re seeing more attraction in that line of business.
Paul Elenio: And Ryan, I think in Ivan's commentary, we talked about. As Ivan said, we do expect. We hope that we can grow the origination side of that business right now. We’re also hopeful to grow the net growth side of that business. And that obviously depending on runoff, but we did see as you know, a fair amount of runoff in 2015. We saw substantially less in '16. We don’t know what '17 will hold for us but we’re hopeful that we can one grow originations on the structured side and maybe see less or the same runoff that we’ve resulted in net growth in our portfolio, maybe a little higher than '16, as well, that’s what we’re hopeful for.
Unidentified Analyst: And then just on the Agency Business. What drove the decline in gain on sale origination piece for the quarter? And what are you expecting for the gain on sale in 2017?
Paul Elenio: So there’s lot that go into the margin. And in my commentary, I tried to give you that guidance that lots of factors factor into the margin. Obviously, loan side and GSE product is a big piece of it. So, depending on the mix, you will have higher or lower margin depending on the loan size or of higher or lower margin. In fourth quarter, we gave you a few larger loan and they generally have a lower margin. So, we did come in slightly lower on the margin, but not significant. And we do think that we can't guide you exactly what ’17 will bring, but we think that ’17 brings a margin similar to maybe what we did in the fourth quarter. But again, it will depend on mix. It will depend on loan size. And as Ivan I'm sure will touch on, it will depending on where interest rates are and where spreads are.
Unidentified Analyst: And then just lastly for the remaining hotel and office OREO assets, is there any expectation of monetizing those in the near-term?
Ivan Kaufman: I would say we’re working hard on monetizing those legacy and residual assets. We've done a good job in Daytona and we’re left with one asset right now. And we would work hard to try and monetize that over the next 12 months. We’re very active in working the remaining asset that we have in Lake Tahoe, and having that go through the development process. And we’re in discussions and negotiations on aggressively working that as well.
Operator: Thank you [Operator Instructions]. Our next question comes from the line of Lee Cooperman with Omega. Your line is now open.
Lee Cooperman: I apologize, if these questions were address, but I got disconnected in the middle of the call. So, I had missed part of the content, but I have three questions. If I said to you over the next two to three years that the economy would grow, say a couple of percent, real terms that the Fed funds rate would go to 2% and in 10 year will go to 4%. But the economy would be growing. Is that an interest rate environment that we can do fine in? And in terms of the balance sheet how we structured. And I'll give you all my questions at one time. The second one is, I did hear that 9% ROE for last year. What's your realistic target, the way you want to run the business? And thirdly, I also heard there’s a $150 million of additional liquidity on the balance sheet. Could one assume that when we put that to work, we can make 4 points spread of that money and so it's a potential additional earnings that we’re not now earning, because the money is not being employed? Those are three questions.
Ivan Kaufman: Paul, why don’t you address the ROE and then I'll remember and address some of those other?
Paul Elenio: So, we did a 9% ROE on common equity this year. I think we did about 9.8 in 2015. So obviously, we think those are strong numbers 8% to 10% would be very strong in our mind. And also, we generated the 13% return to shareholders with dividends in ’16. So we’d like I think Ivan you can weigh in, we'd like that anywhere from 8% to 12%. But certainly, we think those are strong numbers and we think those are obtainable numbers. I think the other two questions Ivan were what the interest rate environment could be and whether we can succeed in that scenario that we led out on the interest environment. And what we think we can do with our $150 million of capital what that could earn us.
Ivan Kaufman: The $150 million of capital is more than we need to operate the business. So, I think we have at least $15 million of that, which can be put into loans and investments. Lee, we run on average between 12% and the 14% return on the capital like we invest. So I believe you can do the math, it will be very accretive to invest those dollars, and show good operating results. In terms of the interest rate environment, we’ve a very well balanced business. And I think that interest rate rises present different opportunity for the different lines of business. As we’ve mentioned before, raise in interest rate has a real positive impact on our earnings due to the escrow and reserves that we maintain on our Agency Business. I think we’re well in access of $400 million [ph] and we will earn an increase in earnings commensurate with the rise in interest rates, which will have a direct impact on our earnings. Volatility is really good for our balance sheet to the extent that there is volatility. It will increase our opportunities for us in terms of using t balance sheet that dislocation is positive to find interest and opportunities and greater spreads. With respect to the Agency Business, I think the Agency Business will continue to grow. A rise in interest rates may impacts that a little bit. But there are still a significant number of loans in '17 and '18, which has to be refinanced. Those loans are still well above the levels that you spoke about, and we’ll still refi work. And we’ll have to re-equitized. There are a lot of different product options today. And if there is a rise in interest rates, you may see borrowers take share return duration products whether it’d be a five or seven as opposed to a 10 year loan, where they may take a variable rate product, which we offer as well. I think you will see a little full in growth in the Agency Business, if in fact rates rise rapidly and people will step back on purchases. And it will be very much driven by refis, but aspects of our business will grow. And I’d be pretty happy with a little volatility in the market to shake out what's taking place when people have too much liquidity.
Operator: Thank you. And I am showing no further questions, at this time. I would now like to turn the call back to Mr. Ivan Kaufman, Chief Executive Officer, for any closing remarks.
Ivan Kaufman: Okay. Well, thank you everybody for participating and your support. It's been an outstanding year in 2016. And we’re really opportunistic and my outlook is very positive for 2017, and look forward to your participation going forward. Have a good everybody.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone, have a great day.